Operator: Good day, ladies and gentlemen and welcome to the Pioneer Power Solutions 2022 First Quarter Financial Results Conference Call.  I would now like to turn the conference over to Mr. Brett Maas of Hayden IR. Please go ahead.
Brett Maas: Thank you and welcome. The call today will be hosted by Nathan Mazurek, Chairman and Chief Executive Officer; Walter Michalec, Chief Financial Officer; and also on the call today is Geo Murickan, President of the company's recently launched Pioneer Power Mobility business Unit. Following this discussion, there will be a Q&A session open to the participants on the call. We appreciate the opportunity to review the first quarter of 2022 financial results as well as discuss recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During this call, management will make forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements contained in the earnings release issued earlier today and in the posted version of these prepared remarks, both of which apply to the content of the call. I would now like to turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Brett. Good afternoon and thank you all for joining us today for our conference call. 2022 is off to an excellent start. Following the sale of our transformer business in August of 2019, we shifted our strategy to focus on 2 significant, durable, secular tailwinds: Distributed generation and electric vehicle charging infrastructure. This shift was deliberate and calculated, designed to leverage our engineering, technical and marketing capabilities most profitably within the electrical equipment landscape. This business shift has indeed unfolded as we had anticipated. The opportunities related to distributed generation and electric vehicle charging are both significantly manifesting themselves, as reflected by our vastly improved financial results for the first quarter of 2022. Our revenue for the quarter was up more than 70% year-over-year and sequentially as well. In addition, our backlog increased sequentially and year-over-year to the highest level in more than 30 months, even as we grew our top line by over 70%. This growth reflects only the initial phase for our new solutions. We believe that as demand continues to grow and combined with our current backlog, we are confident that we will increase our revenue by at least 50% in 2022, with E-Boost and e-Bloc becoming increasingly relevant to our consolidated results as the year progresses. In addition, in the first quarter, the increased volume, combined with improved manufacturing productivity, resulted in gross margins expanding to over 14% from 4.5% last year. Finally, the increases in revenue and margin were achieved despite continued supply chain challenges in both pricing and availability. These headwinds compressed our ability to achieve even higher sales and margins in the first quarter. As I mentioned earlier, our strategic shift was predicated on 2 durable secular catalyst. The first trend is the exponential growth in the last 10 years of distributed generation resources. Our customers want to add secondary power sources like natural gas engines and fuel cells, utilize green energy resources like wind and solar, all combined with continued access to the utility grid, battery backup, all in order to create better control over their energy infrastructure, control costs and reduce their carbon footprint. Our e-Bloc power system makes this possible, enabling customers to efficiently engage in power peak shaving and peak skimming, improve resilience through battery storage and afford the optionality to use renewable energy sources to address ESG goals. Our e-Bloc can be deployed quickly, often with little or no permitting or interconnect requirements and usually with no interruption to the current operations. And we can and indeed have done, easily add EV charging infrastructure to this solution. Sales of EVs continue to increase but there has been a serious lag in building out the necessary charging infrastructure, creating opportunity for us. Retailers, restaurants, hotels, casinos, concerts, trade shows, sports venues, workplaces, all want to move quickly to add charging solution. The biggest hurdle in this process is often the grid capacity and/or the necessary power infrastructure to handle new large electrical loads generated by the EV charging. Our e-Bloc solution addresses these 2 opportunities. During the fourth quarter of last year, we were awarded our largest e-Bloc order to date, valued at approximately $12 million for 62 e-Bloc units to be installed at 62 separate store locations of one of the nation's largest mass retailers. This retailer has approximately 5,000 total locations in the United States. These units will improve the electrical resiliency, redundancy and power capacity at these locations and also potentially provide EV charging capabilities for employees and customers. We expect to begin shipping the first of these 62 units towards the end of the current quarter, the second quarter. Please note that this is just 1 single retailer and just the first phase of deployment. So we see this as an area of significant growth potential for us at Pioneer. Our focus now is to leverage this initial success to bring e-Bloc to a much wider group of energy developers and users such as senior living centers, supermarket chains, warehouse fulfillment centers and many others. The other secular trend I mentioned earlier is EV charging and specifically anytime, anywhere EV type charging. To address the need for EV charging on a temporary basis, like at concerts or festivals or any off-grid mobile-type requirement, we created a new business unit, Pioneer Power Mobility, last November 2021 and launched a new suite of solutions for this market called E-Boost. E-Boost is a self-contained, high capacity, sustainably powered mobile charging solution. We have created 3 delivery platforms for E-Boost. First, E-Boost G.O.A.T., G-O-A-T which stands for a generator on a truck. This is a truck-mounted EV charging solution which is fully mobile and provides the highest form of mobility and can provide high-speed charging anywhere. Second, E-Boost Mobile is a trailer-mounted or skid-mounted portable solution that provides multiple options for towing or forklift relocation and can be available at specific businesses, large sports and cultural events and can be relocated with minimal effort and on short notice. Third, E-Boost Pod is primarily a stationary EV charging solution with as-needed mobility that can provide EV charging to multiple vehicles. This is the ideal solution for gas stations, hotels and other retail locations that utilize or are thinking about installing EV charging to increase customer traffic and retention or as a brand differentiator, or for any customer hesitant to invest and commit long-term capital and pure physical space to a more permanent EV solution. All 3 E-Boost platforms are designed to provide on-demand power needs in addition to its primary task of high-speed charging. So in emergency situations like a power outage and the like, E-Boost can serve as a backup power source with convenient power connectors and outlets available on board. We have already booked and shipped our first sale, a significant order of nearly $800,000 being deployed at a hotel and casino. We received -- in addition, we received and delivered this order in the first quarter. We also won a second order for 2 units from Navistar, a leading manufacturer and solutions provider of trucks and buses. These 2 E-Boost skid-mounted solutions are to be used for recharging Navistar's electric trucks and buses and have already been delivered in the current second quarter. In fact, these units were displayed by Navistar only last week at the 2022 Advanced Clean Transportation Expo, the largest advanced transportation technology and clean fleet event in North America. Market reception for E-Boost is strong and growing rapidly. We enjoyed significant interest and attention at the ACT Expos and many attendees, like electric truck and fuss manufacturers and others, found the E-Boost suite of solutions quite compelling. We believe we are the only company offering a high-capacity, fast charging mobile solution powered by transportable and available propane, allowing greater charging capacity and faster charging than any other mobile solution. We expect E-Boost to represent as much as 10% of our annual revenue in 2022 and we expect E-Boost revenue to double in 2023 from 2022 levels. We are reiterating our outlook for full year revenue growth of at least 50% in 2022, compared to 2021 levels. We are indeed ahead of that pace through Q1. We expect the second quarter results to be similar to the first quarter, including significant year-over-year revenue growth and improved margins and expect the second half of the year to result in even stronger results as we benefit from our continued investments to support E-Boost and the revenue from our new solutions. With that, let me turn the call over to Walter Michalec, our Chief Financial Officer, to discuss our financial results.
Walter Michalec: Thank you, Nathan and good afternoon, everyone. Revenues were $6 million in the first quarter of 2022, up 72.4% year-over-year and up approximately 72% sequentially compared to the fourth quarter of 2021. As Nathan indicated, the first quarter results benefited from the significant contribution of e-Bloc sales as well as our first E-Boost sale. Continued supply chain disruptions are having an impact on our results but we were successful in mitigating the impact during the first quarter. Gross profit for the first quarter of 2022 was $875,000 or a 14.5% gross margin compared to $159,000 or a 4.5% gross margin for the year ago period. The increase in gross profit and improvement in gross margin was primarily due to higher volume, enabling greater capacity utilization, overall improvements in productivity and the delivery of our first E-Boost unit. This was partially offset by higher input costs as a result of global supply chain challenges, a tighter labor market and inflationary pressures. Selling, general and administrative expenses of $1.7 million were 29% of revenues for the first quarter of 2022, an increase of $481,000 when compared to $1.3 million in the year ago quarter. Operating loss during the first quarter of 2022 narrowed by $235,000 to $871,000 as compared to an operating loss of $1.1 million during the same period in 2021, even as the company increased selling, general and administrative expenses to support its expected continued growth. Net loss for the first quarter of 2022 was $788,000 or negative $0.08 per share compared to net income of $351,000 or 4% -- $0.04 per share during the first quarter of 2021. Please note, during the first quarter of last year, we recognized a $1.4 million gain in other income on the forgiveness of our PPP loan. Adjusting for this onetime gain and a small amount of other expense, our net loss would have been approximately $1 million in the year ago period. Turning to the balance sheet and statement of cash flows. We had cash, including restricted cash, of $13.6 million and 0 debt at March 31, 2022, compared to cash of $11.7 million at December 31, 2021. This represents cash and restricted cash per share of approximately $1.41 per share at March 31, 2022. As a reminder, we expect to receive approximately $6.5 million in cash by the end of 2022 from the maturity of 2 promissory notes which relate to the sale of our transformer business in August of 2019. For the first quarter of 2022, our cash provided by operating activities was $2.1 million compared to cash used in operating activities of $941,000 during the first quarter of last year. As Nathan said, we view 2022 as a year of growth and margin expansion. Based primarily on our backlog as well as the significant and accelerating demand for our new solutions, we believe we can grow revenue by at least 50% in 2022 when compared to 2021. And further, we expect meaningful margin expansion. This concludes my remarks. I now turn the call back to the operator for any questions from investors.
Operator:  Our first question comes from Amit Dayal of H.C. Wainwright.
Amit Dayal: Nathan, so with respect to the 62 e-Blocs, what's the deployment time line? Can you remind us, please? And has there been any change to this? I know you started in maybe this quarter. Are you looking to complete this by the end of the year? Or will that go into maybe early 2023?
Nathan Mazurek: So our plan is to -- I don't want to say 100% but pretty much 100% completed this year. The user, the ultimate destination is a little slower receiving or being ready to receive the product than they originally anticipated. Probably the bulk of them will go in the third quarter. There may be some hangover into the fourth quarter but I would be very surprised if there was anything for 2023.
Amit Dayal: Understood. And then sort of with this time line, how should we think about quarterly revenue performance? I guess from a sequential perspective, it looks like 3Q could be stronger for you compared to maybe 2Q or even 4Q. Any...
Nathan Mazurek: Yes. Go ahead. I'm sorry.
Amit Dayal: Yes, I was just trying to get sort of a sense of the cadence for the rest of the year.
Nathan Mazurek: Yes. I think the cadence is going to be that, as best as I can tell, second quarter would be similar, up somewhat over the first quarter but at similar performance to the first quarter and with the third and the fourth quarter with more outsized type performance.
Amit Dayal: Okay. And then just from a preparedness perspective, given all the supply chain issues, are you comfortable with how you have your sort of inventory, et cetera, to deliver these 62 units?
Nathan Mazurek: Yes. I mean we secured all the prime materials in advance, especially for the large contracts that we have and the users there were extremely helpful in advancing funds, so that we were able to, whether by deposit or by outright purchase, have almost everything. But like everybody is complaining about, it's a $300 current transformer or some sort of push button that delays the larger jobs. But we've been managing through it. And I think it compressed us a little bit in the first quarter and will compress us a little bit in the second quarter. But I don't see any other big changes for the rest of 2022.
Amit Dayal: And then just last one, Nathan. As  some of your deliveries into the end of the year, should we expect gross margin improvements to also start coming through?
Nathan Mazurek: That's -- you should expect it because we expect it. So yes.
Operator:  And this time, it appears that we have no further questions. I'll now turn it back over to Mr. Mazurek for any closing remarks.
Nathan Mazurek: All right. Thank you, Ian. Thank you all for your time and support. This was an exciting start to the year and we believe we have significant opportunities to further grow in 2022. We look forward to updating you again on our next call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.